Operator: Welcome to the global conference call of Daimler. At our customer's request, this conference will be recorded. The replay of the conference call will also be available as an on-demand audio webcast in the Investor Relations section of the Daimler website. The short introduction will be directly followed by Q&A session. [Operator Instructions] I would like to remind you that this teleconference is governed by the Safe Harbor wording that you find in our published results documents. Please note that our presentations contain forward-looking statements that reflect management's current views with respect to future events. These forward-looking statements can be identified by expressions such as assume, anticipate, believe, estimate, expect, intend, may, plan, project and should. Such statements are subject to many risks and uncertainties, examples of which are set out in the Safe Harbor wording in our disclosure documents. If the assumptions underlining any of these statements prove incorrect, then actual results may be materially different from those expressed or implied by such statements. Forward-looking statements speak only to the date on which they are made. May I now hand it over to Dr. Michael Mühlbayer, Head of Daimler Investor Relations and Treasury. Thank you very much.
Michael Mühlbayer: Good afternoon. This is Michael Mühlbayer speaking. On behalf of Daimler, I would like to welcome you, on both the telephone and the Internet, to our Q1 results conference. In order to give you maximum time for your questions, our CFO Bodo Uebber, will begin with a short introduction, directly followed by Q&A. Now I would like to hand it over to Bodo Uebber.
Bodo K. Uebber: Thank you, Michael, and good afternoon. We published our first quarter figures this morning, which reflect the weak development of several of our core markets at the beginning of the year. European markets, in particular, had a very weak start, as demand for passenger cars, trucks and vans was lower than expected. In the U.S., demand for passenger cars is high; the truck market got off to a soft start, but it is now showing early signs of recovery. In China, sales of Mercedes-Benz passenger cars are not yet back on a sustainable growth path, as most of our new product launches will occur in the middle and second half of 2013. Still, in what is overall a challenging global market environment, we were able to gain market share in several of our core markets. We enjoy great acceptance of the new A- and CLA-Class, as well as very positive response to the new E-Class. Let's have a closer look at the key financials in the first quarter. Total unit sales in our automotive divisions were stable at around 500,000 vehicles. Our revenue came to EUR 26.1 billion, slightly below last year's level, reflecting a less favorable product and regional mix, as well as lower sales of Daimler Trucks. The group's EBIT from ongoing business was EUR 934 million, below the level of last year. Profits in the first quarter were burned at Mercedes-Benz passenger cars by a shift of regional and model mix, with continuing enhancement of product attractiveness and higher expenses, in particular for new technologies, new products and additional capacity. Our first quarter results also included some launch and ramp-up costs in connection with the CLA-, the new S-, E- and C-Class. At Daimler Trucks, earnings declined due to the market-related sales decrease in NAFTA, Europe and Asia; the expenses related to the extension of business in India and China; production adjustments, especially in NAFTA and Europe and higher warranty costs. Mercedes-Benz Vans was also burned by the market in Europe, while our Bus division was able to reduce its losses. Daimler Financial Services Q1 earnings were stable. Group net profit reached EUR 564 million. Free cash flow from our industrial business was a negative EUR 1.2 billion in the first quarter. Cash flow was impacted by higher inventories due to seasonal patterns, and in connection with the market introduction of the CLA- and the new E-Class. In addition, we continued our planned high investments in future products, technologies and markets. After the low point in Q1, what is driving the improvement of our financial performance in the coming quarters? The drivers will be the renewal and expansion of our product portfolio, increasing benefits from the efficiency programs and an expected improvement of the markets over the course of the year. Let's start with the new products at Mercedes-Benz Cars. The CLA or 4-door compact Coupé expense or product portfolio, it is available in Europe starting this month. The new E-Class also hit the European markets in April; and the market launch of our new S-Class, the icon of Mercedes-Benz, begins in Europe this summer. The market launch in overseas markets, namely in the U.S. and China, will follow a few months later. Because of the launch cadence, we will have the full availability of the new S-Class in 2014. In 2014, we will continue our product offensive with the GLA or compact SUV and the new C-Class family. At Daimler Trucks, our extensive product offensive is now largely completed in all regions. The major part of our investments for new products and engine lies behind us. They peaked in 2012, and are now starting to decline. On Mercedes-Benz Vans and Daimler Buses, we are also continuing the renewal of our product portfolio. In order to ensure that growth from the new products will turn into higher profitability, we continue to work on efficiencies in all divisions. With our divisional efficiency programs like Fit for Leadership at Mercedes-Benz Cars and Daimler Trucks Number One, we are targeting sustainable earnings improvements. Around 30% will be realized in 2013, and with the full effect realized in 2015. The biggest effect of the cost savings come from material costs, followed by fixed and production costs. In the first quarter, we're -- only minor benefits from the programs. We are expecting flowing benefits in the course of the next quarters. Based on these developments and our expectations for the markets, moving forward, our outlook for 2013 is as follows: after a slow start in 2013, we expect better market support in the second half of the year. According to current estimates, worldwide demand for passenger cars should grow in the range of 2% to 4% in the current year, driven primarily by the continued strong increase in demand in the U.S. and further expansion in the Chinese market. On the other hand, as a result of the continuing economic weakness, a decline is, again, expected in best [ph] European passenger car market. Demand will thus continue to move around a 20-year low. The German market cannot decouple itself from this development, and is expected to fall significantly short of the previous year's level. According to our current forecast, global demands for medium-duty and heavy-duty trucks is expected to grow in 2013, driven by the world's biggest market, China. Overall demand in North America should stabilize in the coming months. However, we expect an up to 5% market drop for the full-year. In lieu of the ongoing weak economic environments, we continue to expect a drop of around 5% for the European truck market from the previous year level. The Japanese market is expected to move up to 5% below the previous year level. A moderate recovery and growth by as much as 10% are expected for the Brazilian markets, thanks to the improved economic outlook and favorable financing conditions. So numerous model changes and new products are to ensure that the Mercedes-Benz passenger cars will achieve yet another record in unit sales in the year 2013. The new models in the volume-rich compact car segment will make a major contribution to sales growth. In China, Mercedes-Benz will be introducing new products in 2013, including the new A-Class, and later in the year, the new S-Class, as well as the new E-Class. Additionally, our GLK-Class will have more engine options to better fulfill the needs of Chinese customers, some of whom prefer products with smaller engines. Overall, we expect Mercedes-Benz to grow sales in China in 2013, whilst at the same time, addressing issues which provide a firm foundation for all future endeavors in China. Because most of the product launches will occur in the middle and second half of 2013, we expect the sales of Mercedes-Benz in China to increase towards Q3 and Q4 of 2013. Daimler Trucks expect a slight increase in unit sales for the current year. The booked builds for Daimler Trucks was a haul in the first quarter at 123%, is encouraging, but the overall market environment remains fragile. After the significant increase in the year 2012, Daimler assumes the group revenue will continue to grow in 2013. In regional terms, above-average growth rates are anticipated in the emerging markets and North America. On the basis of the planned new models, the assumptions made for the development of important markets and the increasing effects of the efficiency programs that have been initiated, Daimler expects its earnings to improve in the second half of 2013, compared with the first half. Due to the fact that there will be no further equity-method results from EADS in the course of the year, as well as lowered market expectations and the weaker-than-expected EBIT in the first quarter, group EBIT from ongoing business in full-year 2013 is expected to be below the previous year's level. Mercedes-Benz Cars anticipates full year EBIT below the level of 2012. Daimler Trucks and Mercedes-Benz Vans expect to post EBIT from the ongoing business in the magnitude of the prior year, while Daimler Buses should improve on its negative earnings in 2012. And Daimler Financial Services anticipates a stable development of earnings. In connection with our efficiency enhancement initiatives in Europe and Latin America, we're expecting a special reporting item of up to EUR 250 million at Daimler Trucks, and with our efficiency programs at Daimler Buses, further of up to EUR 30 million. Our target of a stable dividend development is supported by the proceeds of the EADS transaction and the earnings from the ongoing business, while we continue to target a payout ratio of 40% of net profit, attributable to shareholders. Looking beyond 2013, Mercedes-Benz Cars will have a younger model lineup than today. Gaps in our product portfolio will be closed by cars such as our small compact SUV, GLA, which will be the fourth model of our new compact class. Our business model in China will be optimized to fully exploit our potential, and Daimler Trucks will benefit from the completed product offensive and regional launches, including the Euro VI rollout in Europe. I think organization and efficient structures will enable us to leverage the benefits of our continuing product offensive, as well as the growth potential of new markets in the coming years. In 2014 and subsequent years, we expect EBIT improvements for all automotive divisions and the group as a whole. We remain committed to our mid-term profitability targets, but due to current market environment, we expect to reach them at a later point. Thank you, and then, going for the Q&A.
Michael Mühlbayer: Thank you very much, Bodo Uebber. Ladies and gentlemen, you may ask your questions now. I will identify the questioner by name, but please also introduce yourself with your name and the name of your organization before asking your question. Two practical points: firstly, please avoid using mobile phones and secondly, please ask your question in English. Before we start, the operator will explain the procedure.
Operator: [Operator Instructions]
Michael Mühlbayer: So let's start with Horst Schneider.
Horst Schneider - HSBC, Research Division: It's Horst Schneider from HSBC. A couple of questions, please. The first one relates to your full-year guidance again. I mean, obviously, you expect that -- or you anticipate that Q1 was a trough in terms of earnings. When I look at my model, I get the feeling that you assume that you can get back to 7% to 8% EBIT margin at Mercedes Cars, maybe 6%, 7% at Trucks by Q4. I want to get some feeling what could trigger here this great earnings improvement going forward. So therefore, my question's, first, this relates to the guidance here, is -- what is the level of raw material price tailwind that you have got now in your guidance incorporated? Then, I want to get an update on currencies. I think, at the full-year conference call, you still guided for headwind that has been changed now into tailwind. And then, I want to get some better feeling on the cost savings that are now coming up. I see, in Q1, in the conference call chart that you have set some quite negative impact from Other cost changes in Q1. So I want to get some feeling how that can reverse in the next few quarters and when that, really, will kick off. And then -- and with regard to sales, do you assume that H2 sales also will be stronger than H1? And do you expect that China sales will end up the year as a positive year-on-year sales gross number? These are my questions.
Bodo K. Uebber: Thank you for the many questions, Horst Schneider. I'll try to go there -- very quickly through. You -- of course, I can tell -- can't tell you -- don't want to tell you margin development now for the year, but we have said that we have a second-half improvement compared to the first half. Where does it come from? First of all, in Cars, it is new product, it's a new CLA, where we have strong feedback from customers that we are doing well. E-Class is -- showroom traffic is extraordinarily good. Feedback is good for the new E-Class. And of course, we will see the -- in summer, the S-Class up and running. So of course, the unit sales should also, second half to first half, be better in the second half. Therefore, of course, it contributes a lot. The second element in Cars is the efficiency program of Fit for Leadership, where we have promising discussions about potentials and measures and so on, and so forth. So I assume that it will pick up during the course of the quarters and will, therefore, also have a second impact on the profitability improvement. Of course, you see our first quarter number in EUR 450 million roughly. And of course, you know the expectations, of course, and you can calculate what it means for the second half and the remaining 3 quarters. One element is markets. We have to consider, always, European markets are weak and fragile. That is, of course, a little bit of an uncertainly, no doubt, but other than this, I'm pretty optimistic that our equity story will go forward, with the entrance also into 2014. For Trucks, the markets should also pick up. We have in Q1, almost all markets are down, lower than the full-year expectation. So therefore, of course, there should be a positive effect from the markets, and we see some order intake, some promising in NAFTA and also in Europe towards this development for the next quarters to come. We have DT#1 as a second element, of course. Within that, we have profitability measures. We have promising starts with DT#1, also, in Latin America, with the reduction of fixed costs. So 1/3 of the reduction in personnel costs is done, so to say, or is fixed. So we are expecting more improvements here, and we will start the European fixed cost reduction in due time. So these are the both of the major elements. And then, on Buses, I'll skip it due to timing. But right now the second topic, you asked for raw material headwinds. On the Daimler side, it's roughly EUR 100 million. It's split up more evenly through the divisions. That is a headwind which we have, which is calculated in the guidance. You asked about the currency effect with EUR 1.30, there's almost no effect if it stays there. Of course, you'll see the volatility. Some -- I do think we saw a month or a week where it was sitting at EUR 1.30, EUR 1.33 and then EUR 1.34, we were at EUR 1.28. So up and down, EUR 0.05. It's EUR 100 million, up-and-down. So it's pretty constant, we are over 80% hedged. So for 2013, pretty flat development. The fourth question you had was with regard to China, the development in the first half and second-half. For the second half, I said it already, I expect the picking up of sales more in the second half. That is also based on product development, mainly E-Class is a second-half introduction in China, which should have a certain effect, and we will see some numbers, of course, in unit sales. You know that China will be -- for the introduction of the S-Class, one of the -- somewhat more back loaded in this year and should have some effect in fourth quarter. So that is to China sales, I have commented, I think, now I've got -- I do think all your questions.
Horst Schneider - HSBC, Research Division: So China will be up year-on-year, then? In 2013...
Bodo K. Uebber: Yes, we stated also in the -- on the Auto Show. It will be up. We...
Horst Schneider - HSBC, Research Division: Okay, I've missed that.
Michael Mühlbayer: Okay. Thank you. Second in line, we have Jose Asumendi.
Jose M. Asumendi - Baader Bank AG, Research Division: A couple of items. Just going back to autos and the Other cost change category. Could you please clarify, behind the EUR 528 million number, what are the main buckets behind it? Second on Trucks, if you could please comment a little bit around the production rates in the second quarter versus Q1. Maybe sequentially quarter-on-quarter across Europe, Lat-Am and U.S., how do you see the business momentum going? And on Trucks, if you could please clarify whether we should expect additional ramp-up costs or warranty costs over the next 3 quarters?
Bodo K. Uebber: To your first question, more than 60% of the costs we have disclosed in the cost bridge towards last year is product-related, which means material costs, contents, CO2-related costs, depreciation, for example, for the compact cars, ramp-up costs and so on and so forth. We have launch costs in this quarter somewhat, including also some advertisement cost which we need to do for compact cars, which we had to account for. Of course, the compact cars have to be -- get to new customers. Of course, we are targeting a broader customer target group here. And secondly, we also have some investment in some growing international markets, where we have to push our sales, we have to increase our sales capacity in terms of people and other stuff. That is the main baskets for Cars. I assume that these costs stuff will go down over time due to our Fit for Leadership program, which goes against some of the product-related costs, as we have pointed it out. The business momentum, I would say, current -- from a current perspective, of course, it is a current judgment, and it's difficult. In 4 weeks, I might have a different momentum. But the order intake and momentum in the NAFTA is, I would say, is first, I would rank it first in the momentum we see. Brazil, of course, is doing well from a market point of view. We can't totally participate in this market increase because we have to ramp up, also, our whole production network, including suppliers. Then, we have to do some homework to really participate here. Seeing all the market share's somewhat lower than in this market. But from a market point of view, I think it goes further away than I would see Europe with the order intake and then, Japan from a business momentum in this ranking. Your final question was -- just on ramp-up costs and warranty. Of course, warranty, we had several warranty topics which we had to account for, including an accounting method for sale services in Trucks, so there were some items. So I don't expect more of this in the quarters to come. From a current perspective, I do have -- in Trucks, ramp-up costs, we don't have ramp-up costs. We had last year and the year before. We had, of course, in this regard, so I don't expect here more than we have seen in the first quarter. And as I said on Cars, I do expect that Fit for Leadership and the efficiency programs, again, are going against what we have seen during the course of the year against the cost increases.
Michael Mühlbayer: Okay, next in line, we have Michael Tyndall.
Michael John Tyndall - Barclays Capital, Research Division: It's Mike Tyndall from Barclays. Two questions, if I may. I'm sorry, but I'm going to come back to these Other costs, because I'm slightly confused. If we exclude provisions, it was roughly EUR 600 million in Mercedes in the first quarter of Other costs, and you've just said 60% of that relates to product. I just wonder if you can give us a sense of exactly how much of that is going to go away, and how much of it is actually additional content or additional models that will effectively, permanently stick? Because it's a big number in the context of EUR 450 million EBIT, and it seems to be the main reason why your margins have collapsed year-on-year. And then, the second question relates specifically to the E-Class. I wonder if you can confirm -- if I understand correctly, it cost you roughly EUR 1 billion to facelift the E-Class. And I'm just trying to think what impact that will have on the profitability of the E-Class now, because presumably, you're going to amortize that incremental cost, at least, over the rest of the life cycle of this E-Class. So I wonder if you could confirm, categorically, that the E-Class is as profitable as it was before, or is it, in fact, less profitable now because incremental content costs and so on and so forth?
Bodo K. Uebber: You have to make it -- the first metric is -- just with regard to the E-Class. This mentioning of the EUR 1 billion, we don't see and we don't know this number. So this incremental -- I don't know who created this number, but it's not valid, it's not true. I can't work with that number. Second topic is E-Class. As I said before, it's promising from the start now. Also, the ramp-up was nicely made, technical-wise, quality-wise. Margins, we see even a potential for doing better, because the product was enhanced, so to say, one topic is designed, others are content. So we see a pricing potential in the E-Class, and therefore, also a positive margin potential for the upcoming unit sales in this regard. So I'm happy with the development and also with the contribution which I will, then, account for in the quarters to come. The costs position, the -- I don't see the -- the provisioning you're mentioning, you mean, maybe, the long-term provisioning...
Michael John Tyndall - Barclays Capital, Research Division: No, sorry. If I look at Slide 14, you've got, on your EBIT walk down, Other is EUR 528 million, but within that, there was a positive EUR 72 million. So if I add the EUR 72 million back, I've got effectively a -- this EUR 600 million headwind.
Bodo K. Uebber: That's right. As I've said it before, more than 60% is product-related in that and -- what is roughly the material cost piece in that it's like it was in the years, maybe 3/4 of that is material costs related. And as I've said before, we have to add up ramp-up costs to this number, sales cost to that numbers, increasing our capacities in emerging markets -- not in the home markets, where we have, certainly, Europe going down, but in emerging markets, to increase capacities in terms of sales, to make it a successful launch of all the cars we are ramping up. CLA is within that, with advertisement, as I have said. And that comes up -- builds up to this number you have mentioned. I expect this number to get -- to coming down over the quarters when we get our Fit for Leadership impact, also, on the cost side.
Michael John Tyndall - Barclays Capital, Research Division: Okay, can I just have one quick follow-up? Just looking at the cash flow statement, I saw there was an equity distribution to Financial Services of EUR 394 million.
Bodo K. Uebber: That is right. It's a good observation. We have increased the equity in Financial Services for about EUR 400 million in the first quarter. There are regulations upcoming, so to say, that I have to provide for somewhat more equity in the European environment, which we have done. So part of the net liquidity reduction of EUR 1.5 billion is the -- one is the industry cash flow with EUR 1.2 billion, and the remaining piece is the equity increase in Financial Services. Nothing to be concerned about. That is a one-time amount. We have to work out costs and regulations in the future, but normally, we plan for the following rules that Financial Services has to earn the equity by their own. So it means, over the year, we should see a flat contribution, so to say, so they get money, but we get money back in the industry. So I expect effective allotment in this regard, for the impact on net industrial liquidity.
Michael Mühlbayer: Okay, next in line we have Daniel Schwarz.
Daniel Schwarz - Commerzbank AG, Research Division: I have one question on the Trucks side. What you mentioned before, the acceleration in autos seen in the first quarter. Will that mean there are any changes to the restructuring planning and workforce adjustment planning for the remainder of the year? And in the press conference this morning, you mentioned on the Cars side, you expect the German market to stabilize. Will that be visible already in April and May or is it more expectation for the second half? And the last question, on China, you have now a new Board Member in charge of China, he's looking into that business. Would you expect more structural changes to the sales and the production setup? Or is the board's -- Management Board are happy with this set up and you just need to execute?
Bodo K. Uebber: Thank you for your question, Dan Schwarz. Yes, we have some impact, and you remember, we have announced in NAFTA a reduction in capacities. That will not show up this big time. I do think it's half of that. What we see in NAFTA due to our Freightliner business, it is one positive, of course. We have reemployed, so to say, or employed 1,400 more people in Brazil due to -- we need more people to cope with the positive market development and our ramp-up both of these pieces. I have to tell you, it's of course, only in the direct areas. So the fixed cost areas, we don't employ more people here. So it's just for production-related matters. Other than this, I don't see impacts. Second question was with regard to the market guidance to Germany. Most of that stuff is a base effect. So the markets were, last year, already very weak. So the negative percentage you see in the first quarter will diminish, so to say, over time than the base effect of last year will show in. So we have no signs right now that it is really doing better. It could be slightly better, but the guidance of 4% market is more base effect of second half last year, which was pretty down. Your last question with regard to China and more structural changes. I don't expect structural changes, so the over -- I do think we have discussed the major topics like dealer network development, positioning of the new models rightly into the business, the integration of this one structural element, but it is done, but not yet effectively, so to say, to both sales organizations. So other than this, I don't expect structural changes in China. It's a lot of work, of course, for Hubert Troska, which we get regular basis, information, where it is, at what stage and what to do and how to do. And we give him the time to do a really good job there because we have to do a sustainable platform, so to say, an effective platform for the growth to come in China. Also, with regard to the new product, which is getting into China, which is a very important piece of the future growth.
Michael Mühlbayer: Next question, we'll take from Charles Winston.
Charles Winston - Redburn Partners LLP, Research Division: Charles Winston from Redburn Partners. Apologies, 2 questions from me as well. The first one is just on the S-Class. I was wondering -- I mean, looking back the previous recent peak that I can see is about 108,000 units back in '06. I was wondering if you could sort of share your thoughts as to where you think the new model might get to in terms of sales peak, whether it's in '15 or '16. I don't think you have shared your thoughts as to the potential there. And then, the second question is just on pricing. We've seen a number of significant new model introductions from a number of OEMs in the past couple of years. But none of them have seemed to be able to address the difficult pricing environment we've seen, whether it's BMW with the 3 Series or your own ML introduction. I was just wondering what you think's so different about that E and the S models that will enable your pricing, perhaps, to become more resilient, whereas, every other new product launch we've seen from any other OEM in the past couple of years has not been able to produce that resilience.
Bodo K. Uebber: So of course, I don't -- we'll not discuss, in detail, what our peak numbers and what expectations we have for the S-Class. The promising factor is that we have more models, more derivatives. The S-Class family, you know that we are broadening the derivatives we have from the S-Class is one topic. The second one is that the Coupé will be an extraordinary, so to say, new development. Design will be very good, it's really a sportive Coupé for the markets, which can compete even better than before. Therefore, we expect that we do higher sales numbers over the life cycle of the S-Class family, if you might say so, compared to the current one. Where we peak and when we peak, I hope we will never peak, so to say, it means that we have the highest numbers that we can. I've said also, the ramp-up will need some time, also for the whole family and also with the introduction into the U.S. and China, I have already commented, it's a regional launch which we have in front of us. Pricing, overall, I've not yet commented on that. The question was not there. First of all, of course, we have very competitive markets, no doubt. And as I've said before, there are also reactions on us, not always we on the competitors, which was -- which, sometimes will be commented. We have also reactions on our new product, which convinces me that the product is the right one, because we have these reactions. Overall, in the first quarter, we had a positive net pricing, means gross price and that means positive net pricing, as we accounted for, is without enhanced content on the CO2 side and other topic. So with this regard, we are doing fine, compared to the state of product. And before the launches we have of the new S-Class, and the E-Class's upcoming is a quite okay position. Of course, it can all be better. Yes, I would like it, no doubt. But we are here, more or less, according to plan, although, we have this difficult market positions.
Charles Winston - Redburn Partners LLP, Research Division: Sorry, could I follow up on that? I mean, I understand that from a peer revenue point of view, pricing might have been positive in the period. But clearly, including added content, the net achieved price has to be down. You just need to look at your margins. But to see the margin improvement that we're expecting or is certainly implied in your guidance out to the fourth quarter and beyond, the net price, net of added content, surely has to be looking to improve quite significantly to get margins from 3.3% up to, call it, 7% or 8%. So there's got to be a big price, however we account for it, a big price effect here. But as I said, no other product launch recently in the past few years has had a big material price effect if you include content, which I think we need to. So does that -- I suppose, getting back to my question, implicit in the significant margin recovery is an expectation that price net of content has to improve a lot. And I was wondering why you think what is different because as I said, we haven't seen that elsewhere. Sorry to dwell on this, but I think it's really important because, obviously, there's this whole expectation of the significant margin improvements in the next few quarters.
Bodo K. Uebber: There are 2 aspects to that, which we have already commented, so it's not new news what I have given to you, right? That'll be -- in the quarters -- last quarter, we've also commented on that position. Of course, we - there is also pricing potential in the future, we're coming up with new products, no doubt. In this regard, so with new products, we do expect, also, pricing to be favorable and to get additional possibilities that customers gets in and pays more, so to say, for new models. On the other hand, we also -- that was the other piece. We try to reduce the cost, overall, in these aspects with our Fit for Leadership program. So by whatever means the margins should go in the right direction would lead these 2 topics. And as I said before, it's not something new for us, and we have commented it all the time, that we had some -- you noted some shortfall in CO2, the gap of CO2, and that gap we had to close. And of course, if you can't pass it over to your customers, it's cost, so to say, but that was the last 3 years, a big effort to reduce it and now we are coming to the state to reduce the cost and then we'll close the gap in this regard.
Michael Mühlbayer: Okay, next in line is Fraser Hill.
Fraser Hill - BofA Merrill Lynch, Research Division: Just wanted to come back on two points. Firstly, pricing in Trucks, and then, your Fit for Leadership savings as they span out through the rest of 2013. I mean, in Trucks, what we have heard from a number of your competitors, is that pricing's still very tough in the European market. We saw a reduction in pricing on orders taken in the fourth quarter, and that's obviously coming through in the first quarter. Is there anything that you're seeing that's different to that or you think that's giving you a little bit more cause for optimism for pricing to firm up somewhat in the European market? And similarly, in Latin America, have you seen any improved pricing situation yet? Or do you expect that these better orders will eventually lead to that? Just a bit of color there would be useful. And then, secondly, just kind of interested on the phasing of Cars. I mean, if you look at the EUR 2 billion Fit for Leadership that you're targeting, overall, and I know you don't give a firm number, but based on your Chart 19, you kind of show that you expect more than half of that in 2013. We haven't had any contribution in the first quarter, and I think your expectation is somewhat limited in the second quarter as well. So is it valid to think about a EUR 500 million or EUR 600 million per quarter contribution from Fit for Leadership for Q3 and for Q4? In other words, if we look at the profits you delivered last year where, I think, we were talking somewhere close to -- I'll just check my numbers here -- sort of EUR 800 million to EUR 900 million per quarter. Will we be seeing that magnitude of uplift per quarter from Fit for Leadership? And given that we're so close to the implementation of those savings now, what tangibly is driving the savings, let's say, in the third quarter in terms of the breakdown of those cost savings?
Bodo K. Uebber: Okay. Thank you for your longer question. Pricing, I commented this morning, of course, Europe is a tough environment, currently, in Trucks. But it is not tougher than last year. But last year was also a tough environment. We expect it to be a bit better when we come into Euro VI. We have currently, of course, the transition from V to VI, so to say, for the market. And that makes the market, so to say, more price-intensive, but no decrease or not a -- it's not a different situation than last year. So the more Euro VI, where we have also, you know that from an engine point of view and other topics, a very competitive truck. I expect somewhat a better situation for all the participants. In Latin America, the pricing is tough -- both tough last year. It's at the same level currently right now, pretty difficult to predict where that goes to in the next couple of quarters. We'll update you if we see some better situation in Latin America. U.S. is pretty okay, but we have here also, we have a very strong engine. You know that we have more better ideas also for transmissions for total cost of -- for fuel savings. So we are very competitive right now with a high market share market. A market where we are currently pretty much intact, also from a pricing point of view. Japan, as I've said it also this morning, again, it's the end of the fiscal year for many Japanese manufacturers, which make us all, sometimes, tough for us because we have a different fiscal year, but we're not going for pricing there, but it's also a tough environment in Japan. Your remaining question, I do think you may -- might have got something wrong about the numbers. We say this year P&L effect net is 30% of the improvement programs, and that makes it EUR 2 billion times 30%, EUR 1.6 billion times 30% roughly, and that is what you can expect from us during the course of the year, and that should roll in, as I said before, ramps up over the quarters.
Fraser Hill - BofA Merrill Lynch, Research Division: Okay. And any contribution from that net effect in Q2? Or is that all Q3 and Q4?
Bodo K. Uebber: We will date you up in the second quarter.
Fraser Hill - BofA Merrill Lynch, Research Division: Okay, and just on that, though, which -- what element, probably, should give us confidence in the third quarter? And what are the most tangible areas that you think you're going to deliver...
Bodo K. Uebber: Of course, some tangible areas are actions we take, of course. As some of you have seen, we have announced here a fixed cost reduction in Trucks in Europe and Latin America, where we even have, as I've said before, we have done a step into reduction of personnel. In Trucks, we have talked about different measures in the company and decided on topics. Products, of course, coming in with lower material costs. You will see some ramp-ups. They're pretty hard-fixed, of course, where the products are there, that the efficiencies are coming up. So these are examples of where we are pretty firm, that we roll in with these numbers. And we have a lot of measures, which we are looking into, which really accumulates to this 30%. That is how you measure and manage these programs, that you look at all the measurements and projects, and how they're adding up to the P&L effect, and there, we are in a very good position.
Michael Mühlbayer: Okay, next in line is Christian Breitsprecher.
Christian Breitsprecher - Macquarie Research: It's Christian Breitsprecher from Macquarie. I just want to follow up on one issue. You talked about the higher warranty costs in the Trucks division, and you said that was mainly accounting-related. Could you explain that a little bit more and just will you reassure, there are no specific quality problems with the Actros behind it?
Bodo K. Uebber: Yes, I can confirm it. First of all, I cannot confirm it as it's mainly an accounting topic, so I've said that there are several topics which led to this topic. It's not one major topic. And some of that is related, also, to an accounting method, not all of it. Secondly, of course, we don't have a product topic, but once in a while, you have to account for specific topics. And that's it, you go in the market, and you get into contact with the customers, and you do it. So that's not a quality problem, also not with the Actros, so to say. The second that was -- I do think out of -- we have, of course, as I've said before, E-Class is doing fine. You had also a question from -- that was your question, I do think, right?
Christian Breitsprecher - Macquarie Research: No. I just had a question relating to the warranty cost in the Trucks division. So there's no specific problem with the Actros behind the warranty.
Bodo K. Uebber: No issues. No, no.
Michael Mühlbayer: Okay, next in line, we have Philippe Houchois.
Philippe Houchois - UBS Investment Bank, Research Division: A couple of points. The -- can you tell us, on the S-Class launch cost, ramp-up cost, et cetera, were they already somehow incurred in Q1 and continue in Q2? Or are they mostly weighted towards the second quarter? Trying to sense whether we have already some of those costs in the first quarter. Second question is, do you, at this stage, have full operational control of your distribution in China? Or are you still waiting for some approval to get your hands in there and be in charge of the whole thing? And the last question, going back to this point about the recapitalization of the FinCo, EUR 400 million. It's interesting because Volkswagen just transferred leased plan from the FinCo to the industrial balance sheet. It seems that is the same situation, they need to prove to capital ratio for the FinCo. I'm not aware that banking regulations are getting any easier, so we cannot assume this is a one-off. We've seen the German OEMs recapped, FinCo, a number of times in the past 2 or 3 years. So we have to assume that is still a risk ongoing. Can you get us -- what is the capital metric we can look at from the outside on your FinCo to gauge whether your leverage is appropriate or at risk of needing another capital infusion?
Bodo K. Uebber: Your question with regard to the launch costs, it will be mainly in second quarter, but not big time, so they are not a couple of EUR 100 million. So it's in the vicinity of Q1 numbers. So there were a couple of costs, partially, it was S-Class. Second quarter we see, again, a bit of that cost. In China, of course, we have everything done. It is approved, the integration of the organizations, so we don't have any more -- any regulatory approval necessary. So people moved into one building, and now we are up for harmonizing, standardizing and -- the processes and getting the 2 teams into 1 team, so to say, to work together to bring sales up, so to say. Your third element, I have to disagree a little bit with you. So first, of course, in FinCo, you bring the equity ratio due to Basel III, for example, requirements to a level of 7.5%, for example. We were at levels of 7.1%, 7.2%. That is kind of a one-off stage. As I explained it before, FinCo is producing net income by itself, so that means, they are producing their own equity ratio for the future if we need it to. So the major topic is we keep the equity -- what we need in contributions, we get from net income back, so the industry business is not burdened by that, but you have to step up once to 7.5%, so to say. You can see these numbers when you take your -- the equity of FinCo, which is disclosed in the interim report on page number -- I don't have it now in mind, but we disclosed industry and Financial Services. There, you see the equity, you divide it by the portfolio, you get to the equity ratio and there you see the effect. And that is also only in the market currently which we have a banking regulation. In some markets, as you said, which are not regulated or we have a leasing portfolio where we are not under the banking regulation, you don't have to increase the equity. So these -- no concern with that. Everything okay. Losses are doing fine, and Financial Services is a stable, earning provider right now.
Philippe Houchois - UBS Investment Bank, Research Division: But are you not doing what BMW is doing also to try to get more and more of your FinCo business into banking regulations somehow? Or you're happy to keep that mix of banking and non-banking regulations?
Bodo K. Uebber: It depends -- in markets where we have a funding advantage. Due to banking regulations, I would go for that. Otherwise, I would not go for it. That is the rule, the general rule we are going for. And that is, then, the major piece. And if that is true, of course, funding is an element. You might even offset some equity contribution disadvantage, if you might say so, to a funding advantage. And therefore, the economics would be also good. So I'm not so -- I'm not concerned about this development. Of course, I like to have equity ratios at 5%. But anyway, for this business, 7%, 7.5% is a pretty good number, and we could work with that number the last couple of years, and we will do so for the next 10 years or so.
Michael Mühlbayer: Okay, next in line, we have Jochen Gehrke.
Jochen Gehrke - Deutsche Bank AG, Research Division: Three questions, if I may. First of all, just on the vertical integration, you announced today that you are building a further gearbox plant in Romania. I understand that you are still much more deeply vertically integrated. That's an area, which you are looking into. Why that decision? And in case you are still aiming to reduce it if you're not stepping out of gearbox manufacturing which, I think, is one of the largest differentiating factors, what should we be looking at? Secondly, on the Lat-Am trucks, I just want to understand -- if I look back over the last 2 years and I look at your commentary, how the market has developed and how your competitors have commented on that market, I get the feeling that you're always 1 quarter behind. Is there something different in the structure that you have to the Latin America market, when it was going down you had no Euro III inventory. Now it's going up, and it seems like others are equally faster in their responsiveness. And why is that? And then, the final question, just on Mercedes, how should we look at now this product offensive in the coming years? At EUR 14 billion revenue, you're making a 3% margin. I think over the last 6, 7 years, there's not one example where, on such level of revenue, your profitability is as poor. Isn't this a good time to walk away from these very ambitious volume growth targets and use most of the product offensive to rebuild your contribution margins? How should we be following that?
Bodo K. Uebber: Jochen, thank you for your questions. The gearbox now in Romania is a very competitive gearbox. We have compared that with the best-ever we could get assumptions from suppliers. And we -- I have to tell you that we are more than competitive in this area, and it makes no sense for us to go to suppliers. But on the other hand, we picked also a location where we can be even be better and benefit from lower costs in this regard. So of course, we look at our vertical integration, no doubt, and we do it even more and more and more, so to say, and calculate it by many, many alternatives. But that is the right way to do in gearbox here. Lat-Am, I would say the answer is, vertical integration is higher. And that makes us maybe a little bit slower in ramping up the stuff, and that is the reason. Of course, once in a while, vertical integration should also -- we should benefit from that in Lat-Am. So normally, the numbers in the contributions should be, once in a while, higher, when it's done. But of course, I do think we need some time for that. Your third question, of course, the profitability is lower in this quarter, no doubt. But on the other hand, the modern mix we have is also one which could not be worse, so to say. It's a low point in product cycle, so to say, if you might say so. S-Class, E-Class, before new products, the C-Class 1 year before. And of course, we are -- also, we have 3 compact cars -- 2 and now 3 compact cars up and running, and we are shooting for more fixed-cost coverage, and so on, and so forth. So finally, you can be rest assured that we are not growing the business towards the target of low-margin, so what we want to do is -- that is the concept, of course, with our efficiency programs, to make sure that the gross is finally profitable in a sustainable business model forecast. And that should, then, develop into the direction of our target range, which we have told you, and that is the strategy behind that story.
Jochen Gehrke - Deutsche Bank AG, Research Division: I'm sorry, if I just may come back to the last point. When you look at, just in singularity, at A-, B-Class and how it has developed net price-wise in the market against your initial expectations, has the market pressure accelerated to a degree that we are now below budget? Or is most of the weakness now in the margin and the mix is very visible? Is that really down to just product rollover and actually, you can see internally that your margin recovery from that end is very much on track?
Bodo K. Uebber: We are, volume-wise, very okay. Over and above what were our expectations. We're adding shifts in the compact car area. That is good news. Second, we are on our target customer rates. It's on target, which also -- I do think, also important entrants into Mercedes-Benz, reducing the average customer age, so to say, or also the conquest rates, we are doing well. Third, your question to pricing, we have to consider that the different compact cars are differently positioned. So for example, CLA pricing is a different one than you see in B-Class, for example. We are in budget with our pricing and incentive budgets. We have one market where we, I do think as I said before, we set the competition under pressure, but their reaction, of course, in some areas, leads to some competitive environment where we have to -- also to sort of to match a bit, but not fully. We keep a big price premium on transaction pricing, but there we had to -- a little bit to compete, so to say. That's it. From the current point of view, I'm pretty optimistic that we go forward. You have seen the GLA right now, from design and from the segment -- we're not in the segment right now. We will also contribute, so the compact car story goes further.
Michael Mühlbayer: Okay, next question, we'll take from Stephen Reitman.
Stephen Reitman - Societe Generale Cross Asset Research: Stephen Reitman, Société Générale in London. Two questions. First of all, on the CLA, you've mentioned it's had a good response from customers. I understand that the next generation C-Class will grow significantly in size, and so I think the positioning between the CLA- and the C-Class will become much more clear. But in the meantime, do you see there's a risk of the CLA cannibalizing the current generation, C-Class? And what effect -- what might you have to do to protect that? My second question is about China. As you say, you're bringing the -- you've brought the organizations together. How do you feel in terms of getting discipline, also, on pricing within the dealers, and switching them more from -- to -- more on dealer margin, rather than relying on end-of-month bonuses?
Bodo K. Uebber: Stephen, your question with -- the size is right. Of course, the size of C-Class would get longer compared the CLA. I don't see -- that is right. I do think that directionally, but the use of the CLA is a different one. It's a Coupé, 4-door Coupé and also, the seating in the back is different. So I don't see too much overlap, also, in the next 12 months between C-Class -- C-Class family and CLA. China, again, it's -- the whole situation, I do think it is -- a stabilization as far as I can see it in the whole topic, with regard to dealer margins, dealer profitability and also incentive spending. The whole market, I do think also, some remarks from competitors, which we see in some reports, they're also heading to that direction. I'm happy to hear that. So therefore, we have a new incentive system, structured -- without talking now in detail about it -- we have now people on board, which is, I do think one of the major topics to keep it in the right direction, because they're in touch with the dealer body. With regard to spending, where to go for -- for example, when we would have a budget that goes to the customers and not differently else. And of course, I do think we have a current situation, where we have less push, so to say, in the market, which is good. You see -- so all our numbers going down, somewhat, in the first quarter. I do think that helps a bit to balance the whole system and stabilize the system for the future. And that is good, what we are doing there, because we need this -- as I said before, this platform, this efficient platform, to grow the new product into the right direction, also pricing-wise and so on, and volume-wise.
Stephen Reitman - Societe Generale Cross Asset Research: Do you think you'll have to invest -- you've made some investments in the final quarter last year, I think, in terms of -- for China for their whole dealer development. Do you envision also making further investments at a corporate level in order to, particularly, to grow out the dealer network?
Bodo K. Uebber: The answer is no. We have a new incentive system, and as I've said before, new people, and that is the right direction instead of doing one-timers, so to say.
Michael Mühlbayer: Last, but not least, we have Michael Punzet.
Michael Punzet - DZ Bank AG, Research Division: Michael Punzet, DZ Bank. I have 2 questions -- or questions on 2 topics. The first one is, once again, on your guidance. You lowered your guidance for Trucks and Cars, but at the same time, your overall market expectations for Trucks and Cars are unchanged compared with February. Maybe you can explain a bit what are the reasons behind that? Is that due to worsening pricing or a shift in the mix, regional or on the model level? The second topic is on EADS. When you made the revaluation of your EADS stake, you mentioned a positive effect to EBIT of EUR 2.7 billion. Is it still valid for the second quarter, as the final selling price is a bit below the level you used for the revaluation? And the last one is from the option structure you ended in, you say, auto risk or when the share price of EADS will fall.
Bodo K. Uebber: Thank you for your questions. With regard to Trucks, I do think, we might -- we have not pointed it right out, but when you compare February and today's guidance, we have reduced euro guidance -- market guidance. We have reduced guidance for Japan. We have changed the guidance in NAFTA towards the -- to minus 5%. We had minus 5% to minus 3%, so we went to lower end or better end, if you might say so. And we have kept our Brazilian guidance. That is what we have done with guidance. In Cars, of course, we have also changed the guidance for Western Europe. In EADS, the number is, again, EUR 2.7 billion. That is true. That is the latest number we have for the second quarter. And the color spread structure, we do have -- would have only a minor impact on this number. So even though, I don't need to tell you the number, how big it is. It's not more than EUR 100 million, it's by far lower.
Michael Punzet - DZ Bank AG, Research Division: No, I only want to know if there's a risk for you, that if the share price of EADS will fall, that you will have to book a loss in fiscal year 2013.
Bodo K. Uebber: No, no, no. So take the EUR 2.7 billion. That is the best number you take. And second quarter will be 2007, and that's it, so to say, for the EADS accounting. You have to consider, of course, that 50% of that is attributable to Daimler shareholders. The other one is to, we call it, in the heightened minorities. You know that you have to account for -- the EPS effect is, I do think, for Daimler shareholders, 120, roughly. So that, I do think, is important.
Michael Mühlbayer: Okay, ladies and gentlemen, thank you for your questions and for being with us today. Investor Relations remains at your disposal to answer any further questions you may have. We hope to talk to you again soon. Thanks and goodbye.